Operator: Ladies and gentlemen, welcome to the Sartorius and Sartorius Stedim Biotech Conference Call on the Q1 2024 Results. I'm Morris, your Chorus call operator. I would like to remind you that all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Dr. Joachim Kreuzburg. Please go ahead.
Dr. Joachim Kreuzburg: Thank you, very much and good day, good morning, good afternoon also from my side here. Together with my colleagues Florian Funck, our new CFO and René Fáber, CEO of Sartorius Stedim Biotech, I will now walk you through our presentation for the Q1 results of Sartorius as well as Sartorius Stedim Biotech. I think it's fair to say that the results of the first quarter of this year show a mixed picture. That is mostly because of the very different levels of order intake and sales revenue at the beginning of last year as a comparison because of the very strong dynamics and unsynchronized development of order intake and sales revenue during 2022 and 2023. It's also because of quite some different regional trends and influencing factors and these have also different effects on the different product segments of Sartorius and you will see this in a minute also in more detail. We would nevertheless say that the results largely are within the expectations. We expected a rather slow start into the year. We were rather expecting a moderate first half of the year. Order intake is up by almost 10% whereas sales revenue because of the much stronger prior year numbers is down by roughly 7.5%. Book-to-bill ratio is slightly above 1 as we have seen it again being the case at the end of last year in the fourth quarter. We have seen that first time since a while so we see a continuation of this positive dynamics. As I already said, the dynamics vary quite significantly across regions and customers and as I also said across the different product segments. By regions, and again you will see this in more detail, you can say that order intake is the strongest for both divisions in the Americas and by far the weakest for China. If we take this as a separate market, this is really relevant to have a dedicated look on that, and for sales also, say China is showing the weakest numbers, pretty much as expected I would say. This also has some effect on the different developments on the product segment dimension. What is very positive is that order intake is significantly up for the recurring business, so mostly consumables, and that is the case for both divisions. Whereas we are seeing a muted investment activity by customers pretty much across the board, again the strongest in China but also in other regions, and that has led to a relatively low order intake for our equipment and instruments. We do see, and that is again quite positive and very encouraging, a strong business dynamics in our business for advanced therapy solutions, which is as you know one key strategic focus area in our bioprocess solutions division in particular, so significantly above average dynamics in this segment. We consider the profitability to be on a positive, robust level. It's above the pre-pandemic level. I think we should not forget this maybe as one benchmark as well. It is above the level of end of last year. Nevertheless, it is a little bit below the Q1 of last year as sales revenue has been higher at that time as already said. And we think that the ongoing efficiency programs will increasingly contribute during the year to further strengthen our profitability performance. Overall, as we already elaborated during our last calls, we consider the market fundamental intact. I think that is very much what other players in the industry I think confirm also constantly, be it on our customer side or be it other life science tools providers. We clearly all see China being still weak, and we definitely still see also an above average market volatility and of course some geopolitical uncertainties which make it more challenging than usually maybe to make very granular guidances or give very granular guidances on the timeline. But nevertheless, we consider our guidance and our plan for 2024 being intact, and that is why we confirm it. So with that, I would like to hand over to Florian.
Florian Funck: Yes. Thank you very much, Joachim. Good afternoon and welcome also from my side to our quarterly call. I am happy to walk you through our quarterly performance, and as you know, this is my first Sartorius quarterly call as I have officially started at CFO, April 1st. I am hoping to meet many of you in person in approximately four weeks when we are going to have our Capital Markets Day here mid of May in Göttingen. Well, let us have a look at the key financial figures. Overall, I would say that the key financials mirror our recovery curve that we are in. So, please remember Q1 '23 was marked by quite low order intake while sales were still on a quite high level. So, we see order intake being up against Q1 '23 while sales are still down on quite high comps. Looking at profitability, I think the figures show that Sartorius has worked well on addressing the cost structures. On minus 9% on sales, the decline in the underlying EBITDA was only 14%. So, the margin is at a satisfying 28.6, which is 150 basis points below prior year Q1, but and this has to be noticed, 160 basis points above Q4 '23. And so, I think on the back of the assumed increased positive market dynamics, we are well positioned to reach our profitability guidance of slightly more than 30%. Looking at EPS, we see, as expected, the impact of the increased debt level after the Polyplus acquisition that closed, as you know, in Q3 last year. Let's have a look into the regions. The pattern that we saw in the group, sales down while order intake up, is visible across the board except for the APAC region. So, let me start with APAC. In APAC, order intake is also down but driven only by China. If you exclude China, APAC is on order intake up mid-single digit, which is encouraging. And as you can see on the last bullets, the BPS division can compensate the China effect while LPS order intake is, of course, heavily impacted where China plays a more important role in this division. In the Americas, we saw 9% sales decline, EMEA down minus 4%. On the other hand, the recovery in order intake is also more pronounced in Americas while order intake in EMEA is only up 7% versus America plus 25%. Looking at our sales performance against Q4 last year, something that you will be also looking into, we are slightly down overall. But looking at front-running consumables or recurring business, which is the majority of our Sartorius business, sales are up high single digit versus Q4 '23. And also, order intake is up in that comparison. Let's move to the Bioprocess division. Sales are down 8%, if you adjust for currency and M&A effects. But in my perspective, there are some encouraging signs that also Joachim mentioned. The order intake growth is visible in all regions, healthy growth here of 15%. And the recurring business is coming back with a mid-single digit sales growth over a good Q4. Looking at underlying EBITDA, the figure is down like sales, but margin is holding up quite well with almost 30%. And this is driven by positive mix effects. So the consumable share is increasing. And of course, we've also done adjustments in the cost base where we took out a low double-digit million euro amount in Q1 with more to come over the course of the year. Let's have a look at LPS. And in LPS, we see order intake and sales, still a negative territory. The negative order intake situation is very much a function of the weak China business that is still not recovering in contrast to all other regions. Please remember, this China business in LPS dropped as of Q2 '23. So we are looking still in Q1 at quite high costs. But looking at the overall dynamic, I have to say we're satisfied with the LPS performance as we saw positive sales and order intake performance versus Q4 of last year. Underlying EBITDA went down, the margin down by 230 basis points. Of course, on the back of lower sales and also some mixed effects but we are constantly adjusting here the cost base. Let's look at the other key figures that lead to cash flow. So performance below EBITDA, and I was already talking about underlying EBITDA, looking then at extraordinary items. They're on the same ballpark as prior year, the main part of that is reorganization costs, which also then includes redundancy costs. And I can tell you we are not finished yet there. So this is, of course, a focus point. The financial result is as expected down on the higher debt that we have on balance after the Polyplus acquisition that closed in Q3 last year. And the underlying net profit reduction, of course, is driven by lower EBITDA and also the financial results. That brings me to operating cash flow, which is one of my favorite reporting lines. It is significantly down, 157 million, and there are three main reasons for that. The largest effects come from the tax side. We had an unusual pattern of our tax payments, which led to a payment of approximately 70 million that happened in a different quarter than in the last reporting season. Second effect, of course, is lower EBITDA, and the third effect comes from the fact that we used our factoring lines less in Q1 versus the prior quarters. Be sure that we will be working thoroughly in the next month to get our cash performance up, and the focus here will be on inventory, which reduced roughly 10 million under the year-end '23 figure. I will comment on CapEx. CapEx in absolute terms is stable against prior year. CapEx ratio is above guidance, which is 13%, as we are expecting, of course, increased sales over the course of the year. So this is rather a timing to come to the overall guidance. Moving on to balance sheets, non-current assets almost unchanged, nothing to comment on. The equity ratio is up as a result of the capital measures that we've taken in February '24, where we got 1 billion additional cash in, it was 992 to be precise, and the net debt is reduced accordingly, including the cash flow effect that I explained in the prior chart. Net debt to EBITDA also nicely down to 4.4x, and for year-end, we are expecting this ratio to be slightly above 3 as a combination of the increased EBITDA versus prior year, and of course, also improved net working capital metrics. And speaking of year-ends, this brings me then to guidance. You have seen the guidance is unchanged to the one that we published with our annual report, as Q1 was broadly in line with our internal expectations. So I won't read it out line by line, but would rather hand over to my colleague, René, to talk about SSB.
René Fáber: Thank you, Florian, and hello, everyone. Good morning, good afternoon. Let's move to the SSB Q1 results. Again, overall, the first three months showed the projected continued recovery. However, we have seen quite a mixed dynamics across our portfolio and regions. In the first quarter, SSB recorded an increase in order intake of almost 14% in constant currencies to €676 million, with growth coming from all regions except China. Order volume was slightly above sales revenue in the first three months of 2024, which stood at €667 million, down 6.7% in constant currencies. With ongoing inventory reductions on the part of customers' business with consumables has been recovering since end of the third quarter of 2023. You remember we have seen, especially in end of quarter three last year, ramp up in orders for consumables that continued in Q4. And we have seen in the Q1 now, 2024, a strong double-digit order intake growth compared to previous year for that part of our portfolio, and also a positive trend versus a relatively strong Q4 last year. So quite happy with the development here. In addition, it is really encouraging to see that the business with cell and gene therapy customers in our advanced therapy unit or portfolio, which is a major strategic focus point for us, we closed a major milestone acquisition last year, Polyplus, in that segment. That business has continued to perform strongly, encouraging quarter here. On the other hand, customer investment into hardware and systems remain muted in the Q1, especially China and to some extent also in Europe, which significantly damped our equipment business this first quarter. So again, consumables are recovering well. Advanced therapy is a very encouraging quarter. Equipment soft in Q1, sales declined against relatively strong previous year. In terms of profitability, we achieved a robust EBITDA margin. We expect that our ongoing efficiency programs we are running since already last year should deliver further benefits. As the year unfolds here, underlying EBITDA was at €191 million in the first three months with positive product mix effects, Florian commented on that, and cost-based adjustments partially compensating the negative volume development. The EBITDA margin reached 28.6% for the SSB group. Moving to the regional view, from regional perspective, also quite mixed picture here. We have seen normalization of demand in all business regions except China. America's leading in order intake growth being up by almost 30% versus the first quarter of previous year. Sales revenue declined by 8.6 on strong comps in that region. EMEA recorded an increase in order intake by nearly 9%, with sales revenue still down by 3.8%. Asia-Pacific order intake increased by 3.2% in constant currencies. Outside China, we recorded double-digit growth. The continued market weakness in China led also to a decline in sales revenue by 8.8%. Korea and rest of Asia showed both positive sales development. Moving to the next chart, the operating cash flow was influenced mainly by phasing effect. Very much in line with what Florian already explained for the Sartorius AG group, I'm not going to repeat that. Underlying net profit was €84 million compared to €131 million in the first quarter of 2023, mainly due to lower earnings net operating cash flow totaled €55 million. Cash flow from investing activities, €109 million, slightly below first quarter of 2023. The CapEx ratio was 16.4% and slightly elevated on the lower sales revenue compared to the previous year's period. On the key financial indicators, again, at a sound level, reflecting the recent capital increase of €1.2 billion successfully completed at the beginning of February this year, leading to equity ratio increase to 45.8%. Net debt down to €2.494 million, resulting in reduced ratio of net debt to underlying EBITDA of 3.3% by the end of this quarter, or the quarter one. We remain focused on strong cash generation, inventory reductions, cost measures to further drive the deleveraging to slightly below 2.5% by end of the year. That brings me now to the full year guidance. We are expecting profitable growth with a moderate first half of the year. Consolidated group sales revenue is projected to increase by mid to high single-digit percentage range, including contribution of around two percentage points from Polyplus. In terms of profitability, anticipate increase in the underlying EBITDA margin to more than 30%. The above average profitability of Polyplus slightly has positive effects on margin development expected. CapEx ratio around 15%, and as I mentioned, the net debt to underlying EBITDA slightly below 2.5%. Yes, so with that, back to Joachim.
Dr. Joachim Kreuzburg: Thank you very much, René. I think we can directly jump to Q&A essentially, so I think the lines are open now.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] And the first question comes from Vineet Agrawal from Citi. Please go ahead.
Vineet Agrawal: So just two questions. So one, I was just wondering if you can talk about the cadence of the order book development through the remainder of the year. The 2Q bioprocessing order intake has been typically weak sequentially and even third quarter. I mean, given this sequential dynamics, how do you see that order book developing throughout the year? And then just on the equipment order intake, I wanted to see whether there were any orders which have been deferred to later part of the year. Thank you.
Dr. Joachim Kreuzburg: Not 100% sure whether we got your first question right because the line was a little bit broken, I think. But I think you were asking for the order intake dynamics during the remainder of the year. And yes, as I think explained also before, we see this positive trend, particularly regarding recurring revenues and therefore mainly consumables. We expect that to continuously build up. I think as we discussed already earlier this year when we were publishing our results of previous year, we would consider the de-stocking and customers to be largely completed but maybe not really finished. We still see some pockets of excess inventories at some customers. So therefore, we still have some dynamics in that regard that an increasing number of customers are getting back to their usual ordering patterns. And that is what we expect to continue to build up. And that is on consumables, which is, again, probably the most relevant part of our business. And also, of course, in regards to profitability, really the most important product segment. When it comes to the non-recurring revenues and equipment, instruments and the like, then we would also expect an improvement in the course of the year. As both Florian and René explained, we are seeing really a muted investment sentiment at customers at the moment. Again, we mentioned China, where this is really quite very much pronounced, but also in the other regions. And we would expect a recovery from that end as well. So we would expect an increasing dynamic in the further course of the year regarding order intake. And then, of course, on the back of that and with not much delay when it comes to consumables and with a little bit of more time gap, but also not too much with the non-recurring revenues or the equipment. On order intake, push-outs, it plays a certain role. We do see this, that there are some push-outs from one quarter to the other. We wouldn't consider that to be a massive factor at the moment.
Operator: And the next question comes from Matthew Weston from UBS. Please go ahead.
Matthew Weston: The first is regarding the split between equipment and consumables in the first quarter. If you can just give us some indication of the revenue split, that would be helpful. And Joachim, if you can confirm, I think what you're saying is that within the consumables business in BPS, there was quarter-on-quarter order growth. Can you confirm that I've got that correct? And if that is the case, and I assume that was low to mid-single digit, I think that suggests that equipment orders were down more than 20%. If that, again, if you could confirm those numbers, that would be helpful. And then I guess the question really is, what gives you the confidence that you're going to see that equipment step up if your customers remain very cautious about spending their money? And if China remains highly uncertain because of the Biosecure Act, is it that you think that the growth we're going to see for the second half of the year is fully driven by consumables, or you are expecting a rebound in that equipment demand?
Dr. Joachim Kreuzburg: Yes. So thank you for your questions. So on the split, what we are seeing is that, and maybe I go back a second, we usually have a split in our BPS business around 75% recurring, 25% non-recurring. And we have seen it, I think we were talking about that a couple of times during last year, we have seen the recurring portion being below 70% in the course of last year. And we rather had a stronger proportion on the non-recurring side, mostly because the reduction of inventories at customers, of course, impacted the consumables or the recurring business and not the non-recurring, the instruments business. So what we are seeing now that we are moving back to the levels that we have seen before. So it's getting into this direction, pretty much. To your second question, consumables growth quarter-on-quarter, whether I would confirm that, yes, and yes, right. In contrast to that, the non-recurring business was down on the other side, quite significantly, as you rightly said. I would say fourth quarter of last year was also not too bad in regards to order intake there. So when we make this comparison, it was also more on the strong side comes, but nevertheless, in comparison to that, yes, you're right. It's quite a bit down. And to your third question regarding what we expect for the second half of the year within the environment that we are in, I would say, and you rightly again highlighted muted investment activities at the moment in China and other factors. However, I think we should also not forget about the increasing activities of a number of customers regarding capacity expansions. Think of larger transactions in the CDMO space. Consider also continuous and continued programs of massive capacity investments by large players in the industry. Some of those programs are maybe still a little bit more heavy on the, let's say, infrastructural side, but will impact and also equipment instruments and such. And therefore, we consider that in the course of 2024, those underlying trends. And again, we are talking about visible investments by numerous customers, will increasingly play a role. So on your hypothesis that our expectation for the second half of the year would only be built on our expectation for the consumables business, I would say, yes, we are expecting a strong consumables business, but not only. We also expect a recovery on the instrument side.
Matthew Weston: Thank you. If I could just jump in with one quick follow-up, Joachim. Now where you are today in April, do you have more visibility or less visibility on your guidance for the full year than you had when you set it in January? For you, is the outlook the same, or does this slowdown, or at least what investors see as a slowdown in equipment orders, add further uncertainty?
Dr. Joachim Kreuzburg: Yes. So I mean, of course, on the one hand, clearly, the further you move on during the year, the more visibility you get in to some extent. Yes, that's clear. On the other hand, as we always say, and I think others as well, and you see this in many places, in many industries at the moment, of course, we do have also quite some uncertainty. And therefore, but nevertheless, if we would forget for all of that, then of course, we do have more visibility now than two or three months ago. But still, in comparison to visibilities and whatever, stabilities that we are used to pre-pandemic, we are not yet there.
Operator: And the next question comes from Richard Vosser from JPMorgan. Please go ahead.
Richard Vosser: Just a follow up on the consumables order development, more on a year-on-year basis. Could you give us a flavor for the growth of consumable orders in BPS last quarter, fourth quarter '23 and the first quarter '24? That would be helpful. And then, secondly, I think as well as China weakness that was pointed to in terms of equipment orders that Europe was somewhat soft in terms of equipment orders. Could you just give us some color in terms of the types of customers, the types of where that's coming from and what's underlying that reluctance? Is it that, that they've overordered equipment in the past or they've ramped up their facilities substantially in the past and those aren't full, so they're waiting for new manufacturing lines to go in and pausing that or just some color and thoughts there would be useful. Thanks very much.
René Fáber: Maybe I take the question number one, consumables or the intake development. So as I could hear that you're asking about the development Q1 '24 versus the previous year versus Q4.
Richard Vosser: No, sorry. Sorry, René. Versus Q1 '23 year-on-year and also for the fourth quarter versus the fourth quarter of '22. Thanks. Year-on-year, yes.
René Fáber: Yes, all right. So let's start with the year-on-year development. Again, as I mentioned, a strong double-digit growth we have seen in consumables order intake, leading by region with North America's the strongest growth recorded there, followed by Europe and then Asia outside China. In China here still no visible recovery in consumables, not surprising as we have expected. Now quarter-on-quarter, we have seen increase in orders in consumables in Q1 '24 versus Q4 '23. We are not at that level, of course, as we have seen that Q3 and Q4 last year overall that was quite a strong growth ramp up. Now we are more in the low single-digit increase in orders consumables in quarter-by-quarter.
Dr. Joachim Kreuzburg: Maybe then in addition to that regarding your second aspect, why there is a weakness on the equipment investments at the moment and in how far or what kind of customer activities is behind that. Clearly there has been a lot of investment into additional capacities over the last couple of years. Very, very significantly in China indeed, but also in other regions we have seen significant capacity investments and I think we spoke about that also end of January, that we indeed have the situation currently that there is some idle capacity in many places, but that's really quite special, but with a lesser volatility we have seen that also before, at the same time there are still significant capacity expansions being planned. And here what is an important factor is indeed that we will see the number of new drugs being approved and therefore additional capacities will be needed. A lot of approved drugs will continue to grow as well, simply because of larger patient populations. So we indeed have this maybe a little bit paradox situation at the moment that there is idle capacity and therefore on average or in total there is still not much capacity expansion that is affecting us as an instrument supplier, but going forward we expect that to come back given the overall dynamics in the market. So that's basically the background for this stronger or this delayed activity, this delayed recovery, if you wish, on the equipment side.
Operator: And the next question comes from Odysseas Manesiotis from Berenberg. Please go ahead.
Odysseas Manesiotis: Hi, thanks for taking my questions. First of all, a follow-up from your answer to Matthew's question earlier, specifically on the Biosecure Act. Is this part of the hesitancy on spending for some of your Chinese customers? And if that's the case, would you expect this to turn to pent-up demand as these capacity investments are instead carried out by your Western clients this time? And secondly, also a follow-up from your answer on a few of the previous questions, does the [indiscernible] have any implications to your business? We've had some of your higher lead-time peers already seeing some increasing orders from pharma as a result to make sure capacities are available for the future. Have you seen this pick up on your side as well? Thanks.
Dr. Joachim Kreuzburg: Yes. So I would say the net effect of the Biosecure Act is still a little bit hard to predict, to be honest. There will be different dynamics exactly as you described predictions here, but there will be some shift going on between investments in different countries for sure. And on the second question, I guess you know that we never make very specific comments on business relationships with single customers, but we would not expect any of those transactions that have been agreed upon during the last couple of weeks and months to have a significant impact on our business. And we shouldn't forget the one that you mentioned won't be closed too soon, so no effect that we should expect here very soon.
Odysseas Manesiotis: Thanks, Joachim. And a quick follow-up on René. I'm going to rephrase the question asked earlier on the consumable and equipment split. Is it a fair estimate if I say that your sales in Q1 were at around, let's say, 70 consumables, 30 equipment, while from Q3 to Q4 that was more like 60-40? Is that a reasonable way to think about it?
René Fáber: Yes. Thanks for that question. It's very fair to assume that we are moving from that 60-40 ratio in sales, consumables to equipment now, more to 70-30. Thank you very much.
Operator: And the next question comes from Oliver Reinberg from Kepler Cheuvreux. Please go ahead.
Oliver Reinberg: Thanks very much for taking my question. The first one is also on the kind of bioprocess equipment part. So I guess this is what's obviously driving the kind of perceived order softness. So can you just talk a little bit more about the nature of this kind of equipment business or to what share of this equipment business is related to capacity expansions, I guess, the majority of it, and what share is related to replacement demand for equipment? And in any kind of color, what kind of mix have you seen in the order intake in 2023? What was the kind of equipment share? That would be question number one. Secondly, just on China, if we leave the equipment part out, can you just talk to what is the kind of sequential development for consumable orders in China? Is this deteriorating further or destabilizing? And do you hear any kind of color like when the kind of end of destocking may be reached in China? And then thirdly, just on the guidance, I mean, do you still consider the kind of full range of your guidance as feasible, or is it more likely that we now shift to other point to the low end rather than the high end? Thank you.
René Fáber: Thanks for the questions. I take the first one on the equipment nature of the equipment business. Maybe starting with, like, we are looking at the equipment business, first of all, larger projects like you ask, capacity expansions, how much is related to capacity expansions, where we would call it like integrated solutions projects are about. We are serving, this is the area where we've seen less projects, not only Q1, but already last year also. And yes, that's related to what Joachim described in some parts. We still see overcapacities very much pronounced in China, but some other regions as well. So, the larger capacity expansions in your use facilities, less dynamics here. Then on the, maybe looking into equipment portfolio, we see rather muted dynamics in upstream, like bioreactors. But on the other side, quite positive, strong dynamics in downstream separation systems, mostly driven by innovative chromatography systems we have now in our portfolio. So, also a bit mixed picture regarding the portfolio. What we also see is customers, and that goes back to the cash consciousness, protection of cash. We see customers rather going, and that's specifically in upstream, buying rather smaller benchtop bioreactors instead of larger automated bioreactor systems as well. So, the logic is visible as well here. I hope I could give a bit more color into the portfolios of the equipment.
Florian Funck: Yes, let me take the question regarding China looking, or China consumables or recurring business from a group perspective. What we see that the sales that we are doing in China and recurring business is flat this quarter versus Q4 last year. We also see that the development, if we look on the quarter-on-quarter performance in '23 has been extremely volatile. If you're taking, for example, the performance of the second half of the year, this has been negative in the low double-digit range and is now, as I said, flat.
Dr. Joachim Kreuzburg: Okay. Then on guidance, I have to say I don't have much to add to what we already have said regarding the guidance. Maybe the only additional comment would be that Q1 was regarding sales, pretty much the highest comps, whereas at the same time, we are expecting an increasing dynamic on the demand side by our customers. So, and therefore, we consider the guidance to be realistic.
Oliver Reinberg: Perfect. Can I just follow up? What is the share of recurring business or replacement business within the equipment business? Can we say like 75% of this, 25% is capacity expansion and 25% is really like replacement of existing production lines?
René Fáber: Yes, probably not very much replacements. Mostly it's expansions, obviously.
Oliver Reinberg: Okay. Understood. And any kind of color when destocking in China may end on consumables?
Florian Funck: I think this is why I gave you the sales figures running from a negative performance in the second half of '23 now to a flattish performance in Q1 quarter-on-quarter.
Operator: And the next question comes from Hugo Solvet from BNP Paribas Exane. Please go ahead.
Hugo Solvet: I have a couple of follow-ups. First, on profitability for 2024 as the mix will rebalance probably into H2 with a bit more instrument. How comfortable are you with the profitability guide for the year? Second is on order intake. Can you maybe give us the number for under intake excluding the scope effects or excluding Polyplus which you consolidated in Q4 and in Q1? Just wanted to have a clear view on the underlying organic order intake growth. And just to clarify, Joachim, on your earlier comment, do you expect destocking to be fully resolved by year-end or we could see a tail of destocking still reaching early 2025? Thank you.
Florian Funck: Let me take the first part of the question regarding the profitability guidance. So, we feel comfortable with our guidance of slightly above 30%. And why is that? On the one hand side, I think we are currently already at a quite robust level close to the 30% with 28.6%. And no doubt, we are all expecting a stronger second half of the year with the development, positive development and to start in the next quarter. That is number one. Number two is, we are seeing that we have more sales dynamics on the consumable side, which come with higher margins versus equipment. So, this is also chipping in positively into guidance. And thirdly, seeing simply the kind of structural alignment measures that we have taken, we have seen already some effect in Q1, but there is more to come in quarter two to four.
Dr. Joachim Kreuzburg: And then maybe second question, the orders development and the Polyplus effect on it. I think we give the number for sales revenue, and there we say it's three percentage points in organic. And that's pretty much also the number for order intake. And the third question, whether we expect the destocking to be completed by the end of 2024. Yes, we will clearly say so. Our view is that it's very far advanced. Just would like to remind you that we have seen the low point of our order intake and book-to-bill ratio around mid of last year, seen an improvement here. And as just described, that is particularly the case for the consumables, which have been subject to stocking and then destocking. So, what we see at the moment regarding all of you and what we hear from customers is really the back end of this destocking initiatives by customers. As I said before, there are some customers, some pockets of excess inventory level that customers still, but it should decreasingly have an impact on the demand development. Thank you.
Operator: And the next question comes from Ed Ridley-Day from Redburn Atlantic. Please go ahead.
Ed Ridley-Day: A follow-up on China. First of all, can you remind us, if you can, of the quarterly phasing of Chinese growth in the bioprocessing business in the first quarter and second quarter last year, obviously in the back of the last stimulus program. And related to that, do you have any comment on report of a new stimulus program announced last month with further detail announced in recent weeks from the Chinese government and what benefit, if any, that could have on demand later in the year in China? Thank you.
Florian Funck: So, please correct me if I'm wrong. I understood the question that you are asking about the quarter-on-quarter sequential dynamics in the BPS China business. Is that correct?
Ed Ridley-Day: Yes, last year. Exactly.
Florian Funck: Last year. Yes. So, and what I said for the group is, in a way, also true for BPS. We've seen quarter-on-quarter throughout the year negative developments in BPS China with that negative development rather developing in sales. So, going down to a small double-digit negative number. And in Q1, we have been able to record even a slight increase in China in sales.
Dr. Joachim Kreuzburg: So, maybe then on the third question on the stimulus, as you said, it's like four weeks or so that it has been announced. Again, I would say a bit too early to really see this materializing, therefore difficult to factor that in. But in general, I would say, and I think we discussed this also in our previous calls, we have seen that a number of activities by Chinese policymakers during the last couple of quarters has indeed, and I guess very much unintendedly, dampened the demand in our sector. One factor was price regulations on innovative pharmaceuticals, et cetera. And you can see that such restrictions are partially lifted already, so that there is a reaction by the policymakers in China, because they indeed have a high interest to help such sectors to get back to more healthy and sustainable development paths. And it's unchanged the case that the healthcare sector and the biopharmaceutical and life science sector in particular is part of also the current five-year plan in China. So, we definitely would expect that measures will be taken that then also will see material effect and such stimulus program, which obviously is targeting not only on the healthcare sector, but also on others, will also probably contribute to that. But again, quantification definitely too early to do anything like that.
Ed Ridley-Day: No, I understand. But thank you for that. It's a very quick financial follow-up. Clear guidance on the first quarter, if you give us any further color on where we should expect full-year financial costs to settle, that would be helpful.
Dr. Joachim Kreuzburg: Could you repeat the question, please?
Ed Ridley-Day: Yes, just regarding the run rate. Should we regard the first quarter run rate in terms of net financial costs as about right for the remaining quarters? Or was there anything in there that was a bit more of a one-off?
Florian Funck: Yes, of course, there's a one-off in Q1, as we had roughly two months with a kind of year-end net debt amount. So, for March, we have then reduced our net debt by 1 billion. And of course, you should take roughly 4% interest costs on the net debt that you see at the end of quarter one going forward.
Operator: And the next question comes from Oliver Metzger from Oddo BHF. Please go ahead.
Oliver Metzger: The first one is on equipment or the intake. So, you highlighted in one of the previous answers that you see also some more investments by Pharma and H2 for instruments, which is in support. Equipment at the end is not equipment there. And I assume that all the BPS-related equipment basically drives the more attractive consumer business than some other equipment. So, can you go with us through the dynamics? If really the BPS-related equipments remain weak, to which extent does this create weaker prospects for consumables in the foreseeable time? Second question is about the recovery momentum. To which extent do you observe some smaller baskets, like only a three-month equipment order versus in the past you oversaw a six-month equipment order before? So, are there more orders in absolute terms, but just smaller basket sizes? And the last question is on M&A, about potential opportunities. For years, we saw a lot of M&A in smaller scale. Then basically we also saw your acquisition of Polyplus. Would you agree that the consultation in the whole bioprocess solution market has already digested all the relevant smaller players? And now with Polyplus, you've entered a new phase of targets, which are more in the billion EV level. Thank you very much.
Dr. Joachim Kreuzburg: Thank you for your questions. Quite different subjects that you are addressing, but happy to answer them. Maybe first on equipment, and I just start with it, because then René will add some color. We make these comments for both divisions, first of all. And when we talk about equipment and instruments, mostly then for our lab division, we are talking about, for example, analytical instruments like live cell imaging systems and such. Such instruments are standard instruments. So that is already answering maybe a little bit for LPS, your second part of that question, whether we would talk about what you, I think, call smaller baskets of instruments, et cetera, and also I think the lead times that then are attached or related to such orders. And the lead time for even though these are really high-tech, very high-performing instruments, are not very long. So be it, again, live cell imaging systems, be it the protein analytical systems that we have in our portfolio, or even our cell selector, all those products don't have such long lead times. And we have relative low investment activities by customers. Here we are talking also to quite some extent about smaller biotech firms that are placing such orders, but of course also larger research-oriented pharmaceutical companies, et cetera. So that's on that, and then maybe on the nature of the BPS equipment and both sizes as well as in how far consumables are attached, maybe René will answer that.
René Fáber: So BPS equipment, as I mentioned, what we see this year is rather less larger projects on equipment as such. The mix of those which are then pulling in consumables later, I think that's not really changing. We see still additions of equipment, single-use, including bioreactors, downstream equipment, which use then consumables later. No real shifts there. On the size of orders, as I mentioned, tendencies rather, first of all, less large projects. So this goes to more single or few equipments per project. Second, as I also explained, customers tend to spend less on their large-ticket equipment. I mentioned the highly automated bioreactors with above a million price tag, rather going to smaller benchtop type of instruments. So the trends or what we have seen at least in Q1 is this rather smaller orders.
Dr. Joachim Kreuzburg: Okay. Maybe then on the third question on M&A, I think you're right. There has been quite a bit of consultation going on in the life science industry over the last couple of years. However, I would say particularly the very sizable players in the industry have changed their owners over the last decade or even a little bit more when this really started. So therefore, I guess there will be now maybe some mid-size transactions. Of course, you can never exclude also really large transactions to take place at some point, but I guess there won't be very many. But, however, for Sartorius, it's really the case that we are very much oriented and focused on adding innovative technologies to our product portfolio so that we can make our offering even more relevant to customers. And relevant means relevant to help them to reduce the drug development times as well as the cost for manufacturing drugs. And here, of course, we have a specific focus on innovative drug modalities because here our customers are facing very specific and challenging pain points to really make step improvements regarding, again, development times as well as manufacturing costs. So that is very much our focus. And here, I would say it's also fair to say there are not that many sizable innovative companies that would fit into this scheme and pattern that we are focusing on. So therefore, I would say it's quite well possible that future M&A of Sartorius will be again, as often in the past, also rather address smaller and not too sizable targets. But again, of course, it always depends also on maybe opportunities that we are not yet aware of. But nevertheless, the tendency is more into the direction that I just described.
Operator: And the next question comes from Sezgi Ozener from HSBC. Please go ahead.
Sezgi Ozener: Hi. Thanks for the presentation and taking my questions. I will have three, please. So first of all, about the sources of weakness that you mentioned from Europe in your press release, can you maybe elaborate on that? Is it just BPS? Is it LPS as well? And within the LPS, if you look into the order weakness, what's the contribution from bioanalytics versus the typical LPS products there? My second question is on the cash flows. You mentioned, thank you for that, that there was a tax shift causing quite a diversion in the first quarter tax income. Do you expect that to correct in the quarters going forward, or is that a correction of past shifts? And my last question is on the order dynamics from the U.S. We see that U.S. has been stronger, especially on the BPS side. Do you see any of that additional demand coming from the shift caused by the Biosecure Act and the recent shifts in the CDMO market? Thank you.
Florian Funck: Yes. Let me take your, what was it, your third question regarding cash flow. There was a tax shift, not to be corrected in the upcoming quarters, but from Q4 to Q1.
Dr. Joachim Kreuzburg: So in other words, shouldn't play any such role going forward. Exactly, yes. And then for your first and your third question, maybe the third first, again, Biosecure Act, we would not consider to have played any role yet in our numbers. When we made the comment at the beginning that we are seeing these different dynamics regarding order intake, sales, regions, and product segments, then this, as said, has quite to some extent to do with different comps also, because we have seen a certain effect also kicking in to different degrees at different times last year. And clearly, we are seeing a weakness in North America regarding funding of small biotech firms relatively early already during last year. And we do see quite some recovery here. We do see that gradually investments are coming back, yet not on the level that we have seen before. But we see some positive trend here. And Europe, I would say, is a bit in between. As I said before, U.S., the strongest for both divisions and also for LPS, I guess you were asking for LPS, whereas China is the weakest. And then and then EMEA a little bit in between. And then between the different type of instruments, I think that was your question also. Yes, of course, the more high-priced, high-performing instruments like, again, lifestyle imaging systems would be one example, as this is really a high-performing product in our portfolio and a very good product and very well-recognized product in our portfolio. Then, of course, these are a little bit more affected when research-oriented customers have maybe some constraints at the moment, whereas more standard instruments are less affected from such constraints. So therefore, that is indeed a bit the case. Yes, so and but that, again, is a little bit independent from the region, because I think you were connecting this aspect a bit to Europe. I wouldn't say that this had a particular impact on the European business. It's just a little bit the effect across the board. So that would be my answer to your first question. And then the other two, I think we answered already.
Operator: And the next question comes from Thibault Boutherin from Morgan Stanley. Please go ahead.
Thibault Boutherin: Hello, thank you. Just a couple of questions. The first one on M&A, just if you could comment on your appetite to return to dealmaking today. Would you be ready to ask an opportunity in 2024? Or is business development more of a story for 2025 and beyond? And my second question is just a bit more conceptual on your emerging cell and gene business. So when we think about most traditional biologics like antibodies, they obviously require the production of large amounts of drugs on a regular basis. So it's easy to understand the implication for your business. But when you're thinking about cell and gene, I imagine we are working more with kind of smaller volumes of consumables. So on paper, it looks like maybe less recurring revenues. The goal of gene therapy is kind of one and done. So as we see these modalities moving from development to commercial stage, how should we think about what it means for your recurring revenue stream?
René Fáber: Maybe I start with that question regarding cell and gene therapies. Thank you for that. So we are looking at cell and gene therapies, of course, new modalities, young, immature market, maybe too early to have a clear picture about how really the future will look like. What we can say is that the sheer number of drugs being developed is significant, representing almost one-third of new drugs in development, of biologic nature. That shows that there is a significant interest and investment by our customers in that innovative field. The volumes are rather small. That's correct. That speaks for use of single use technologies. Number of batches will be higher per patient. Batches will be, we see more and more. When in terms of approval of drugs and scaling up, I think that follows more or less the same logic as monoclonal antibodies with significant increase in consumption, especially than consumables or critical materials, media. And so we have built portfolios last year. To the point of one of cure, still we'll need to see that. I think there's a huge number of patient or untreatable yet the diseases which will enlarge the market as such, and how that will really look like in terms of recurring batches for per drug yet to be seen. I think the indicators are overall quite positive, not only on the size of the pipeline, as I mentioned, but approvals, which are happening, quite encouraging.
Dr. Joachim Kreuzburg: Yes. M&A appetite, as you phrased it. So indeed, as we have said when we were launching our capital measures early February of this year, we said we thought and think it's reasonable to have the strategic flexibility and ability to potentially move forward if there is an attractive opportunity that fits into the scheme that I described a minute ago. And we do see quite the potential that such opportunities will arise and become really potentially relevant in the course of this year. At the same time, I clearly would like to say, don't expect anything to be announced by us within the near future. It's really about being prepared. There are attractive innovations out there in the market. We are, as always, very actively observing what's going on and have a clear strategy how to consider those and analyze those. So not necessarily anything that will be only relevant in 2025, as you asked. But of course, I can only also not exclude that, that it only might materialize back then. But again, I think it's important, given the dynamic times we are in, that we have this strategic flexibility.
Operator: And the next question comes from James Vane-Tempest from Jefferies International Limited. Please go ahead.
James Vane-Tempest: Two, if I can, please. Firstly, just on destocking of consumables, I mean, products all have various shelf lives. So across your portfolio, since we started to see this initial overordering, has all of that stock expired or do you still have SKUs with much longer shelf lives, which may still be elevated inventory levels? So where do you see excess stocking and are these related to specific SKUs? Related to that, what is the latest feedback from your customers where they will ultimately lapped? Is it still sort of at pre-COVID levels or perhaps kind of above that, just given some safety stock, given political uncertainties? And then my final question is just on guidance and your confidence, given the visibility on your different segments. So just to clarify, just on some of the other questions, is this based on consumables driving growth and mix, and so less on the non-recurring revenues to meet your margin targets? Or do you have visibility that equipment orders should also be picking up, which is critical to meet your guidance? Thank you.
René Fáber: Thank you for the question. I take the first two questions. First, you were asking on consumables, destocking, any differences in different SKUs with different shelf lives. I would say, maybe too early to say, some signs we see in the direction of shorter shelf life consumables picking up faster than the others, so that would fit to that logic. But again, it's still a bit of unsynchronized development and timing, too early, but the direction is going to the shorter shelf life consumables picking up faster. Stock levels pre-pandemic now, what we've seen is also changing, to be honest, how customers have been looking at. When the destocking started, we've heard more like maybe going back to pre-pandemic level, maybe a bit higher with the experience of broken and strained supply chains. That changed then to, you know, at the levels as pre-pandemic, and then we have seen at some customers pushing those down and still continues to in some cases see that, working capital on the customer side then. So, like a trend going to optimizing the inventories down to the maybe slightly even on average below the pre-pandemic levels.
Dr. Joachim Kreuzburg: Yes. And then maybe on guidance, but before I comment on that, just to add what Renier said and to maybe avoid misunderstandings here. We would consider that clearly the main driver for the recovery of orders in the consumables sector is that our customers have used those products and not so much the shelf life expiring. It might have played an additional role here and there, and that is what René said with this certain indication, but we should clearly say by far the majority has just been used. So, and then on guidance, we, as said before, and I guess it's difficult to add to our perspective on that, and that we consider a continuous recovery of the demand for the orders for consumables assets, that we also expect a regular recovery of orders for the equipment. It's also, I think, discussed before what kind of equipment we are talking about and that this plays a role in both divisions. And of course the gross margins and also the incremental gross margins and the incremental profit contribution is quite significantly higher for consumables. And therefore in that sense also more relevant for our overall margin, also given the fact that the consumables or the recovering business is significantly larger than our non-recurring business, so that's clear. But also our non-recurring business, equipment business contributes positively to our margin and also a recovery in that business also contributes positively to our margin development. So, it's not the case that our margin guidance is only based on any expectation on the consumable side. Plus and Florian elaborated on that during the presentation already, part of the robust profitability that we have shown here for Q1 is based also on an improved cost base. Those measures that we are implementing, continuously implementing here, will contribute to an increasing degree over the course of the year, so this is another factor our margin guidance is based on.
Operator: And the next question comes from Charles Pitman from Barclays. Please go ahead.
Charles Pitman: A few from me, just one quick clarification. Can we just go back and just confirm that the BPS Q-on-Q consumables growth in 1Q '24 was low single digit growth, including the benefit of Polyplus, please? And then, just a second kind of clarification related to the M&A outlook. As you are considering further innovative opportunities, but also continue to progress with cost savings and following the recent equity raise, can you confirm that you're not considering any further equity raises to address your debt and you're with your current leverage targets? And then just one more in terms of the impact of China and Biosecure Act. Can you just confirm what portion of sales China accounted for in 1Q? And also just in terms of the kind of durability of your FY '24 guidance, what you are assuming in terms of the Chinese recovery and what is in there for any potential impact from the Biosecure Act that continues to move through the market and has any potential impact on your end market demand? Thank you very much.
René Fáber: I take the first one. René speaking, so sequential quarter-by-quarter growth consumables. Yes, confirm single digit growth, including Polyplus, low single digit.
Florian Funck: Yes. And regarding the leverage targets, yes, we're still feeling comfortable with a net debt to EBTA of three, slightly above three, so to say. Without any additional capital measures being planned.
Dr. Joachim Kreuzburg: Yes, without any additional capital measures being planned.
Florian Funck: So, and then the sales revenue contribution by China in Q1 of 2024 has been, let me take a look here, a little bit more than seven percent, which is lower than the number for full year 2023, which is no surprise given all the comments I think that we have made. And it has been in the lower teens territory in 2022. So, that I think gives you feeling for the impact of the decline of business in China. And on the outlook here, as we said before, we do expect a stabilization and recovery of the Chinese business. We would not allocate any portion of our expectation here to the Biosecure Act on the one hand and any measures by the Chinese policymakers or so. So, I think that will be difficult. But given the dynamic also that we have seen in the course of last year, I think we referred to that a little bit earlier during our call here today, where in the around the middle of last year, really the deterioration of the demand in China has accelerated. We definitely will also see besides that we are expecting some stabilization and recovery going forward, that we also will see significantly lighter comps. We shouldn't forget that. So, we expect a certain growth contribution from China going forward this year.
Operator: And the next question comes from Falko Friedrichs from Deutsche Bank. Please go ahead.
Falko Friedrichs: Firstly, I'm looking for a little bit more clarification on the Q1 order intake in BPS. When I go back to the Q4 call at the end of January in the Q&A section, you had indicated that the order intake in BPS should be up sequentially in the first quarter. It now ended up being down by 6%. So, that's roughly a 50 million delta. And I'm still struggling to understand what could have happened in February and March that explains this significant delta versus your statements at the end of January. Maybe you could help me understand whether, I don't know, the equipment business fell off a cliff in March. A little bit more color here would be very helpful. Then secondly, when going back over the last few years, your Q2 order intake in BPS was often lower than the Q1 order intake. So, is this something we should also expect this year, meaning that the Q2 BPS order intake could be down or should we expect this to be up? And then my last question is just a bit more color on your visibility on the equipment orders picking up again in the second half. Can you give us a little bit more comfort on what you're basing these expectations on? Is that coming from discussions with customers? Are customers already indicating to you that they plan to order again in the second half? Because what we've seen before is that sort of a lower investment appetite, that can be pretty sticky and easily last for a few quarters. So, maybe you can give us a bit more comfort as well. Thank you.
Dr. Joachim Kreuzburg: Yes, sure. Maybe first, if I may start and then René will also add to that. So, first of all, I guess we are talking order intake here. At least that is my understanding. And order intake by BPS is up by around 15% for Q1. And it's right. It's not up versus Q4 of last year. But I would also say what we tried to bring across for the dynamics of the end of last year was that we have seen a very strong recovery quarter-on-quarter towards the end of last year, Q3 versus Q2, Q4 versus Q3. And that we would not expect this to happen to the exact same extent. But indeed, you're right. The orders that we were expecting for the non-recurring business, i.e. instruments, were relatively low towards, let's say, second half of the first quarter. We do have, and René will elaborate on that a little bit more, we do have a healthy funnel. But we definitely see that customers are rather delaying their decisions regarding such investments quite a bit. And maybe just before, again, I hand over to René. I mean, we will not make any specific guidance here for single quarters. We've never done that. We believe that will be really very difficult. But again, as we always said, indeed, first half of the year, we considered to be rather moderate. And we confirmed the full year's guidance. But to make a specific guidance here for the second quarter, I think, would be maybe a bit too ambitious.
René Fáber: If I add to that, Joachim mentioned pipeline looks good for equipment. So, looking ahead, we have Q2 more or less in the books for equipment orders. Q3, Q4 pipeline looks quite solid. But yet again, we need to see how much pushouts we will see. We've seen also that in the pipeline, sales funnel opportunities are there, but it becomes more difficult towards the end and closing for the mentioned reason of customers then preserving cash, pushing out the decisions or delaying the decisions to later point in time. So, still some way to go. Again, Q2 well in books and rest quite solid outlook.
Falko Friedrichs: Okay. Thank you. And given you have Q2 in the books, you would point us to a little bit of an improvement again over Q1. Is that fair?
René Fáber: It's maybe too early to say. Again, we don't want to comment on providing a quarterly guidance here.
Operator: And the next question comes from Dylan Van Haaften from Stifel. Please go ahead.
Dylan Van Haaften: So, just one, as I said, just on the efficiency initiatives and some of the work that was flagged that you're doing, I just wanted to understand if some of this is incremental that you've decided over the past couple of months, or this was already planned based on sort of the outlook you guys gave earlier? Thank you.
Florian Funck: Yes, of course. When we did our guidance, we had certain plans for the efficiency initiatives, including a ramp up. What we're seeing currently that we are targeting more than we had in the budget.
Dylan Van Haaften: Okay. So, nothing incremental on these initiatives? You're not expanding them or anything?
Florian Funck: Pardon me. Once again, please.
Dylan Van Haaften: Sorry. So, nothing incremental here. You're not expanding these initiatives per se based on sort of the market backdrop you're seeing?
Dr. Joachim Kreuzburg: We are adjusting those initiatives in some areas, as it's always the case when you're executing such measures that you continuously adjust. And if things are implementing well, then one gets also sometimes more ambitious, and that is what we are doing. But in principle, we have defined those initiatives and the areas where we wanted to reduce, for example, headcount in certain functions have been identified before, and some other of such measures as well. For example, we have set ourselves a target regarding procurement. And as it goes, then you find certain pockets where you think, well, maybe you can achieve even more. So, some readjustment and the tendency is that we are getting a little bit more ambitious here. But in principle, they have been defined before.
Operator: And the next question comes from Charlie Haywood from Bank of America. Please go ahead.
Charlie Haywood: I just wanted to add-on an earlier question. When you by-process order intake grew 15% quarter-on-quarter in third quarter and fourth quarter, did you see equipment orders growing or declining in those quarters? And so, was your recurring side growth above or below 15%? Thank you.
Dr. Joachim Kreuzburg: It was the second.
René Fáber: Yes. So, quarter three to quarter four growth last year, right?
Charlie Haywood: Correct. And second quarter, third quarter.
René Fáber: Yes. So, on equipment, I think Joachim mentioned that quarter four was rather a strong quarter on equipment. So, there was a growth quarter three to quarter four in equipment as well as there was a growth in consumables.
Dr. Joachim Kreuzburg: Yes. So, it's a bit lumpy, this business by nature, and it's been also lumpy last year. And yes, as René said, there has been growth towards the end of the year in the equipment business as well. Now, as described, a slow start into this year with the expectation that we will see some increase in that part of our business going forward.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Dr. Joachim Kreuzburg for any closing remarks.
Dr. Joachim Kreuzburg: Yes. Thank you very much, everyone. I have to say, I appreciate a lot -- all the questions that you have asked us and given us the opportunity, therefore, to also add some additional color and granularity to what we have reported anyway. As I said at the very beginning of this call, it's a very mixed picture because of some different dynamics and very different comms. Very much lays in the nature of the back-end office, very much disrupted situation in the course of the Corona pandemic. So, once again, thank you very much for the discussion. Take care. Talk to you in three months or later. Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded, and you may disconnect. Thank you for joining and have a pleasant day. Goodbye.